Operator: Ladies and gentlemen, good morning, good afternoon and good evening, and welcome to the Infosys third quarter earnings conference call. As a reminder, for the duration of this presentation, all participants' lines will be in a listen-only mode, and there will be an opportunity for you to ask questions at the end of today’s opening remarks. (Operator instructions). I would now like to hand the conference over to Mr. Sandeep Mahindroo of Infosys Technologies Limited. Thank you, and over to you, Mr. Mahindroo.
Sandeep Mahindroo: Thanks Saji. Good morning everyone, and welcome to this call to discuss Infosys’ financial results for the quarter ended December 31st, 2009. I am Sandeep from the Investor Relations team in New York. Joining us today on this earnings call from Mysore is CEO and MD, Mr. Kris Gopalakrishnan; COO, Mr. S.D. Shibulal; and CFO, Mr. V. Balakrishnan along with other members of the senior management. We will start the proceedings with a brief statement on the performance of the company for the recently concluded quarter, followed by the outlook for the quarter and year ending March 31st, 2010. Subsequently, we will open up the call for Q&A. Before I pass it on to the management team, I would like to remind you that anything we say which refers to our outlook for the future is a forward-looking statement, which must be read in conjunction with the risks that the company faces. A full statement and explanation of these risks is available in our filings with the SEC, which can be found on www.sec.gov. I would now like to pass it on to Mr. S. Gopalakrishnan.
S. Gopalakrishnan: Thanks Sandeep, and good morning, good afternoon, and good evening to everyone of you. Thanks for participating on this call. This was an excellent quarter, we had all-round good performance. The strategies we adopted in focusing on clients, meeting their requirements in terms of cost control, solutions to increasing offshore clearly helped us in this quarter to increase our revenue from our top, our largest clients. This has helped us to grow this quarter by 6.7% sequentially. In constant currency terms, this is about 5.8%. Volumes increased, we were able to hold on to pricing. Our pricing went up on blended terms by 1.1%, utilization improved. We added employees, we gave a compensation increase this quarter. So, every one of the parameters we have done extremely well. If you just look at the top 10 clients, you know, top 10 clients grew 12.2% this quarter compared with the overall growth for the company at 6.7%, almost doubling. So, our focus on relationship building, our focus on engagement level investment, our focus on solutions, the differentiations, all these things actually came together and helped us. Further recoveries happened in US in Financial Services sector, we were able to take advantage of that during this quarter. Going forward, we believe that given that the budgets have not yet been finalized, we don’t have sufficient data to forecast other than what we have done right now. We have guided for a very small increase in Q4, about 1%, and we expect the margins to be hit slightly because of increased hiring as well as the impact of Rupee. Other than that, the numbers are all with you. I will hand it over to Mr. Shibulal to give you more details on the numbers, and then followed by V. Balakrishnan, the CFO on further discussion on the financials.
S.D. Shibulal: Thank you Kris. Good morning everyone. As Kris said, this has been an excellent quarter. We have seen all-around improvement and revenue has grown, volumes have gone up by 6.1% sequentially quarter-on-quarter. Pricing has increased by 0.2% in constant currency terms. I will now try and give you some color on other aspects. Pricing has gone up 1.1% in Q3. That means we have seen second quarter of sequential stability in pricing. The pricing environment have stabilized. We are not seeing pricing (inaudible). We are seeing a few of them which is normal to our business, normal business, but we are not seeing unusual activity in the pricing side. The recovery is led by US in Financial Services sector. We have done – we have had multiple conversations with our clients. Almost 50% of our clients have finalized their budgets, and for most part, on an average, budget for 2010 seems to be flat. So, we are expecting a flat budget for 2010. While the consumers have started taking decisions and we are seeing velocity of decision-making go up, our customers continue to be cautious about the business environment, about their business environment in 2010. Now, geographically, US was gone to 64.9%, Europe has dipped to 21.9%, and from a service perspective, the largest growth has been in business application maintenance, which has gone to 24.5% from 22.7%. Verticals, financial, banking and insurance, Financial Services have shown strong growth. Another vertical which has seen growth is energy and utilities. From an employee perspective, we have added 8,700 people gross, 4,400 people net. Attrition on an LTM basis is 11.6%. Attrition excluding involuntary separation is 8.2% for the quarter. Our hiring numbers for the year has gone to 24,000 from 20,000. In Q4, we will be adding 6,000 people. We are also in the campus, doing campus recruitment. Our plan is to give 15,000 offers. So far, we have given 8,000 offers. Our top clients have grown 12.2%, almost double the company average and the remaining clients, the non-top ten has grown 4.8%. So, this quarter growth has been led by the top 10 clients. Number of client additions for the quarter, 32. Our million-dollar clients have now gone to 336, previous quarter it was 330. We have 22 clients contributing more than $50 million on an LTM basis. Out of the 32 clients we have, five are Fortune 500 clients. Number of clients in the Fortune 500 space is 119. This quarter, we gave a wage increase to our people, 8% offshore and 2% on-site. Another important milestone this quarter has been the McCamish acquisition which was done by the BPO. And from that acquisition, we have gained $1.9 million in revenue in Q3, and we are planning our guidance for Q4 includes $7 million [ph] of revenue. Another major event this quarter was the announcement of flip, our platform for apps, for the small and medium telecom service providers. With that, let me hand it over to Bala for financial highlights.
V. Balakrishnan: Good morning everyone. We have done extremely well this quarter. The revenues came much higher than what we guided. We ended up this quarter with $1.232 billion of revenues, which was 6.7% growth. Most of the growth came from top 10 clients that grew by 12.2%. Non-top 10 grew by 4.8%. Overall, we obtained a growth of 6.7%. In the beginning of the year, when we guided for the full year, we said revenues could decline somewhere between 3% to 7%. We are guiding for an increase of 1.8% to 2%. In constant currency, it’s still a growth of 1.6% to 1.8%. The operating margin have slightly gone up, it has gone up from 30.3% last quarter to 31.1% this quarter. We had an impact because of the currency. The average rate of Rupee/Dollar last quarter was 48.39, this quarter it is 46.62. So, there was an appreciation of 3.7%, which impacted the margin by 1.8%, ;pricing increased by 1.1% in reported dollars. In terms of constant currency, it is 0.2%. Most of the pricing have shown down to margins. Utilization has gone up by 1% that had impacted positively the margin by around 0.6, and we had an intangible write-off, which negatively impacted the margin by 0.3%, and we have reduction in other costs, which contributed profitably by 1.6. So, net-net, we have seen increase in operating margins during the quarter. The effective tax rate went up to 22.6% for the quarter. But for the nine months, it’s still 21.2%. This year, it could be somewhere between 21% to 21.5%. Next year, when some of the stock keeping units [ph] get out of holidays, probably the effective tax rate could go up to maybe 25%. We had seen all-round growth, it’s not related to one individual customer. Most of the growth came from Financial Services vertical, and we have seen across-the-board growth from all of the customers. We increased guidance for manpower addition, increasing it from 20,000 we guided earlier to 24,000, and we are going to give some 15,000 campus offers for people to join next year. So, overall, we have seen a very good quarter, all-round growth, and now, I will open the floor for questions and answers. Thank you.
Operator: (Operator instructions) Our first question is from the line of Moshe Katri of Cowen & Company. Please go ahead.
Moshe Katri – Cowen & Company: Hi, thanks. Congratulations on a very strong quarter. Bala, utilization rates went up pretty significantly during the quarter, I think about 300 to 400 basis points sequentially. Can you talk about utilization rate targets, I would say for the next six to 12 months, that’s number one? Number two, your stability to sustain operating margin during the next six to 12 months as well, thanks.
S.D. Shibulal: Sure, I will answer the first one, the utilization rate and then Bala will answer the second one. See, we generally cannot have a utilization rate target, right, because we honored all the offers we gave to our employees last time. So, they have all come into the system. 8,000 people are still in training. We have expanded our training from four months to six months. So, we have used this opportunity to build talent, and you know, some of the numbers you are seeing this quarter, last quarter is a result of that buildup, because we are utilizing that talent to generate revenue right now. So, utilization in a way is a reflection of the demand. We are quite comfortable having a utilization rate between 76% to 80%. As the demand picks up, the utilization generally goes up. They have been quarters in the past where we have reached up to 82%, but that is not a good point to be in, because that will create tremendous pressure on the staff in new programs. So, our comfort level is between 76% to 80%.
V. Balakrishnan: On the operating margin, Moshe, we have given the guidance for the next quarter. Next quarter, the operating margins could decline, one, because of currency, because average rate of currency this quarter was 46.62. We are against 45.75 for next quarter. That could have an impact of close to 100 basis points on the margin, and we are also adding more people. We have increased the guidance from 20,000 to 24,000, that could impact the margin by around 60 to 70 basis points. But for the full year, we will still be slightly higher than what we declared last year. For the next year, we will talk about that in April.
Moshe Katri – Cowen & Company: Okay, then a final question, looking at the pipeline and some of the activity that kind of picked up, you know, what’s the timeline do you think for, you know, that will take for Infosys to go back to a more normalized growth level, let’s say in the mid-teen to high-teen levels going forward?
S. Gopalakrishnan: Moshe, again, we have to wait till April for us to give you the guidance for the next year. What I can say is that things are looking better this quarter. NASSCOM projects that the offshore IT services industry would be having double-digit growth. Their own projection is that somewhere between 12% to 20%, and of course, Infosys tries to leverage its relationship with the clients and try to grow as much as better than the industry. I would leave it to that and just wait till April for that guidance for the next year.
Moshe Katri – Cowen & Company: Thanks again.
Operator: Thank you Mr. Katri. Our next question is from the line of Joseph Foresi of Janney Montgomery Scott. Please go ahead.
Joseph Foresi – Janney Montgomery Scott: Hi guys. I wonder if you could talk about, if there was any specific projects or any kind of project flush in the quarter that maybe is a one-time issue or that will take place going forward.
S. Gopalakrishnan: Rather than budget flush, what we saw was a confidence returning to clients, decisions being made faster, you know, because they are seeing a better future, they are starting to spend. We worked very hard in building and rebuilding relationships with our clients. We met their expectations, their requirements in terms of costs and things like that by increasing our fixed price engagement. We built solutions which will give them, you know, softer time to market, better value. So, we did many things right. And that helped us to actually grow. If you look at top 10 clients, it grew at 12.2%. So, that clearly is an indication that, you know, our relationships are one that is helping clearly not the budget flush that is helping us in this regard, you know, the relationship that we focus on concentrated, that’s what is helping. Similarly if you look at service side revenue, maintenance revenue has gone up. So, we make sure that we listen to our customers and meet their expectations.
Joseph Foresi – Janney Montgomery Scott: So, you would expect this competence to continue someway this [ph] quarter?
S. Gopalakrishnan: Yes, we will get a better view on this once the budgets are finalized by the end of January, first week of February. Current indications are that, even though budgets are going to be flat, offshore spending would increase. Majority of our clients are indicating that (inaudible) would go up. They are deciding today. Previously even though, that was logical decision, decisions were not being made. Now, they are ready to take decisions, and that’s the difference now and six months back.
Joseph Foresi – Janney Montgomery Scott:
S. Gopalakrishnan: For next year, you know, we believe that if this year is any indication, our ability to sustain margin is very, very high. Actual numbers, we will give you in April, but we have demonstrated that we are able to sustain margins even in very difficult conditions, very difficult situations. In terms of some other indicator, we are quite positive. In Q4, we are going to hire 6,000 people. For the year, we are hiring 25,000 people. For next year, we are making 15,000 campus offers, 8,000 already made. So, those are some indicators of our confidence in the current environment.
Joseph Foresi – Janney Montgomery Scott: And just one last one, if you could point to one reason why you think your margins have been more sustainable and maybe address it in reference to, maybe you are sacrificing some growth, if you could just talk about those two factors?
S. Gopalakrishnan: See, rather than us looking at it as sacrificing growth, what we see it is as disciplined growth. The key is to maintain a certain discipline in your place and things like that, you know. Ultimately, if you undercut, what happens is when things improve, both the factors won’t be sustainable. And somebody will always be lower than you, and that is a no-win situation, so you just party, and the clients lose ultimately because we can’t serve the clients. We lose because we find that it’s not a sustainable business. So, what we have done is this relation to customers, so we have increased the fixed price, we have tried to meet their expectations on cost, we have definitely met their expectations on value. It’s a disciplined approach to fail. That is what we are focused on, that’s what we are trying to do. And we are happy that when growth came back, the clients spend their money with Infosys, and that’s what it’s reflected in this quarter’s numbers.
Joseph Foresi – Janney Montgomery Scott: Okay, thank you.
Operator: Thank you Mr. Foresi. Our next question is from the line of Trip Chowdhry of Global Equities Research. Please go ahead.
Trip Chowdhry – Global Equities Research: Thank you and very good execution. I have two questions. First one is regarding Windows 7 and its upgrade. Are you seeing any increased business activity that has helped your business because of the launch of Windows 7? And I then have another question.
S. Gopalakrishnan: You know, unfortunately I don’t have any data on Windows 7 adoption. Definitely we have a service around Windows 7 migration as we had for Vista, as we had for other Microsoft products and things, but we are a large partner for Microsoft. So, we have a service around Windows 7 migration, I don’t have any data on the adoption at this point.
Trip Chowdhry – Global Equities Research: The second question I have was regarding the app store you have created for your mobile operators. So, two questions, is this app store available for global telcos or in option telcos, and second is, there are three or four platforms which are –?
Operator: I am sorry. Mr. Chowdhry, could you mute your line when you are asking a question. There seems to be some disturbance on the call.
Trip Chowdhry – Global Equities Research: Okay, can you hear me better?
Operator: Yes, are you using your handset now?
Trip Chowdhry – Global Equities Research: Yes.
Operator: Thank you.
Trip Chowdhry – Global Equities Research: Hello? Can you hear me?
Operator: Yes, please go ahead.
S. Gopalakrishnan: Yes, go on, yes.
Trip Chowdhry – Global Equities Research: Yes, the second question I had was regarding mobile. The app store you have, is it for the global scale or is it only for pre-operators, and the sub question I had further is, there are about two or three operators, I mean, the platform which are popular these days, BlackBerry, Android, maybe iPhone, which platform app are you creating these mobile app stores for? Thanks.
Subhash Dhar: Hi, this is Subhash Dhar. I will take that question. The flip platform is a third-party white-labeled application store platform available for operators everywhere in the world. We have kicked it off with our first client, Aircel in India, but we are in negotiations with other operators as well, both in India and overseas. As regard to how does it compare to the platforms you just mentioned, the platforms you have mentioned are largely device-centric app stores, whereas this one is designed to be more operative-centric app store. That is one difference, and the second is that this is a third party running it. So, the developers who contribute their applications to the application store, they do not have to go and tell this to every device or every operator. Once they come on this store, they can be distributed to theoretically all the operators who sign up and theoretically to all the devices that are supported by the operators. So, that difference we believe, which is a superior model of creating an ecosystem of our apps and connecting the consumers or the ultimate users to the app developers.
Trip Chowdhry – Global Equities Research: Very good, thank you.
Operator: Thank you. Our next question is from the line of Bhavan Suri of William Blair & Company. Please go ahead.
Bhavan Suri – William Blair & Company: Hi guys. Just a couple of quick questions here. You know, you said that 50% of clients have finalized budgets (inaudible) clients. So, I am little surprised by kind of the muted guidance for the next quarter, given that 50% of clients have finalized budgets, any sort of commentary on that?
S. Gopalakrishnan: Our guidance is based on the data we have, and given that only, you know, some of the clients have finalized their budget, there is some uncertainty. Second, there is an uncertainty about the sustainability of the recovery, there are again few reports would say over 40% clients that the recovery can actually backtrack. So, given that we have limited data, given that we need probably more causes of growth before we can confidently say that normalcy has returned, we adjourn this guidance, and yes, this is a cautious guidance, and that’s where it is.
Bhavan Suri – William Blair & Company: Okay, and then one quick question on sort of the new model, can you give us a little color on the traction you are gaining with new models, for the call, you know, last quarter, roughly 5% of revenue was coming from the new transaction type of models, the non-linear pricing. How has that grown this quarter, and then also just on, how are you funding CapEx, or how should we think about CapEx funding for these new models, should require investment in hardware, software, R&D so on so forth.
Subhash Dhar: Okay, this is Subhash Dhar again to take that question. We are tracking around that same percentage at this point in time. We have – that number has almost doubled in terms of contribution to our revenue stream in last fiscal year, so we are really encouraged by the profits we have made in the new engagement models and the non-linear price deals. On how are we funding the CapEx part of it, we are being selective in what platforms we are building those, that we would see latent demand from our clients and from prospects. We are also looking at those which have higher leverage where as relatively low capital investment gives us larger sized deals of our deal mandates. So, we are being selective. I think that’s how we are controlling. So, there is no limit to how many platforms one can build and imagine, it’s almost every engagement into a non-linear model. So, we do pick and choose those platforms that have been hiccups in CapEx, the capital expenditure investments and for the OpEx model to the clients.
Bhavan Suri – William Blair & Company: Thanks Subhash. I guess longer term though, as the model shifts to, you know, a greater portion coming from these platforms, the CapEx model for Infosys has come after shift from sort of the CapEx per FTE per person to more investment into assets, you know, it may be volatile [ph] assets, how should we think about that transition in CapEx?
S. Gopalakrishnan: You know, we are also partnering. So, for example, when there is a hosting required, we may actually partner with somebody who can provide that hosting and we will come up with a revenue share back-to-back revenue share with that company. On the software licenses also, we have back-to-back agreement, the revenue share agreements etcetera. So, we are also looking at how can we balance the CapEx with our capacity to investment in things. Capacity, of course, exists but we are also looking at it in a smarter way.
Bhavan Suri – William Blair & Company: Okay, thanks. Good quarter guys.
Operator: Thank you Mr. Suri. Our next question is from the line of George Price of Stifel Nicolaus. Please go ahead.
George Price – Stifel Nicolaus: Hi, thanks very much, nice quarter. Just wanted to see, I know IT budgets are, you know, they still haven’t been totally finalized, although it sounds like flat to up modestly depending on who you talk to. But are you or would you be still fairly confident that offshore growth would be, you know, at least making the low-double digits when you look at just the offshore portion?
S. Gopalakrishnan: So, that is the indication we are getting currently. You know, everyone of the discussions we have indicated that their allocation to offshore should increase. We looked at industry analyst report, we looked at NASSCOM itself, which is the National Association of Software and Services Companies in India. They also say that the offshore IT services industry should actually growth of somewhere between 12% to 28% [ph]. So, some of the data points indicate that offshore allocations should increase.
George Price – Stifel Nicolaus: Okay. In terms of M&A, I know you have commented on this a lot, it’s a typical question, but specifically, what types of services would you be most focused on? And I guess, the recent uptick in M&A in the industry, particularly over here, but I think just in general, does that make you feel that you have to little quicker, does it change at all, how you think about your M&A strategy?
S. Gopalakrishnan: We have done an acquisition this quarter, a small acquisition, McCamish Systems. It is a platform serving insurance industry. They manage life insurance policies and things. So, it’s a platform that you will just feel about. So, the reason why I talked about it is that, that gives you an indication of our strategies on acquisitions. We look at the strategic side, we look at the ability to leverage that acquisition, show their ability to integrate that, retain the employees. The company must feel that their joining with Infosys is going to enhance their ability to serve their clients. So, there are various things we look for, and the bottom line is strategic fit, ability to retain employees and at the right size. So, those are the things we look for. We don’t want to be so stingy on acquisitions, but definitely it is not how we look at acquisitions. We don’t have goals like, you know, one acquisition per quarter and things like that, we don’t have any such goals. If we find the right company, then you will see Infosys doing an acquisition.
George Price – Stifel Nicolaus: Okay. Last question is, just beyond M&A which would be an obvious use, you have a lot of cash you continue to add to it, what are you going to do with it? Thank you.
S. Gopalakrishnan: I am going to ask our CFO, Bala to talk about it.
V. Balakrishnan: Right now, we are keeping it in the bank, and make sure that exists. We will look at opportunities as Kris said, if we find a good opportunity on the way, we can use some of it. And if you don’t find a use, we always return to shareholders. We have done it two or three times in the past. So, we will wait and watch for some time, a lot of things happening in the environment. If a good opportunity comes, we can do something.
George Price – Stifel Nicolaus: Okay, great. Thank you.
Operator: Thank you, Mr. Price. Our next question is from the line of Rod Bourgeois of Bernstein. Please go ahead.
Rod Bourgeois – Bernstein: Yes guys. Is there any reason to expect that sequential growth as in the December quarter may not repeat itself in the upcoming March quarter? I mean, do you see any particular obstacles other than the absence of finalized budget data from your clients?
S. Gopalakrishnan: Without data, you know, I cannot say anything, right. That’s exactly the decision we are in, and with the data we have, we have given you the guidance. No, since you better – what numbers would end up, you know, we don’t know at this point. We have given you what we know. Also, what this quarter has demonstrated is that the company is well prepared to take advantage of accelerated growth. We have the bench, we have the capacity, we have the right services, we have the relationships. So, if let’s say, there is acceleration or opportunities are there, then we can take advantages coming from it.
Rod Bourgeois – Bernstein: Got it. You have increased your hiring plan by about 4,000 people. Is that new hiring plan reflecting a revenue trajectory that might be a little bit better than what you have given in terms of guidance to the Street?
S. Gopalakrishnan: We believe in strategic events, we believe in capacity. So, if the opportunity comes, then we can take advantage of that and grow faster. Whatever we see in revenue, we have given you as guidance.
Rod Bourgeois – Bernstein: And then in the hiring plan where you have increased it by 4,000 people, should we assume that some of these added hires will not start work until fiscal 2011, or will a meaningful portion of those new hires potentially start during the March quarter?
S. Gopalakrishnan: I will request Mohandas Pai to talk about how the hired people get billed in what timeframe in which they get billed, what is the training schedule, etcetera. So, he will talk about when will they become billable, when they get billed etcetera.
Rod Bourgeois – Bernstein: Thanks.
Mohandas Pai:
 – :
Rod Bourgeois – Bernstein: Yes.
Mohandas Pai: The freshers will take about ordinarily 29 weeks to get billed, because they seem at the end of six months, they do have flexibility to put them into delivery for billing after about 20-and-a-half weeks. As far as laterals are concerned, they can get billed within 30 days from the date of joining, in case we do have the work. The additional people that we are hiring this quarter consists of a substantial number of freshers who are joining us and are part of the earlier commitment that we made. So, they cannot be billed this quarter. Two, of the laterals that we are going to hire, a fair number could be expected to come in the last 45 days of year. So, a fair number could not be billed. So, what will be billed this quarter will be the freshers who have been released from training, and the part of the laterals who have been hired and come onboard in the month of December. And we have increased the number from 20,000 to 24,000 to take care of any growth requirements for the next year, because the freshers coming next year from the colleges will be ready to be billed only at the earliest by November or December. And that’s why we need to have in advance some people in the system to take care of our needs.
Rod Bourgeois – Bernstein: Great. And then, one other question on headcount mix issue, will we be expecting in fiscal ’11 that your mix of onshore staff that’s not working on a Visa to go up meaningfully, I know that’s been something you kind of been working on in the last year, and should we expect further, I guess, call it progress in that regard in increasing your onshore staffing mix of non-Visa workers?
Mohandas Pai: Yes. We are still going ahead with a move to hire 1,000 [ph] people. We got about approximately 150 to 160 people in the system, and so next year-end, we should have more people where local residents of the countries where we work in the entire system compared to where we are today.
Rod Bourgeois – Bernstein: Okay, great. Thanks guys.
Operator: Thank you, Mr. Bourgeois. Our next question is from the line of David Grossman of Thomas Weisel. Please go ahead.
David Grossman – Thomas Weisel: Hi, thanks. Just go back to the quarter, I mean, you highlighted the growth of the top 10 being 2x the sequential growth for the base of the business, for the average for the business, can you help us better understand, you know, is this reflecting some of the price concessions that we talked about earlier, I guess in the year where we are talking about price concessions that exchange for higher volumes, or is this really just a straight kind of improvement in the overall environment and increase in economic activity among some of the other things you talked about?
S. Gopalakrishnan: So, David, there is a combination of both, where we had to meet the expectations with our clients, when we have tried to meet them in a disciplined way as I said. We have tried to fix price. Our fixed price have gone up. In some cases, we have reduced the rates, but by and large, we have created a win-win scenario for our clients. We have met their expectations and things like that. There is also an improvement in decision-making, clients are confident about the recovery, and they are now starting to spend. And that is also reflected in the growth.
David Grossman – Thomas Weisel: And in terms of the pricing, I think this is, if I am not mistaken, maybe last quarter you had flattish sequential growth in constant currency and pricing, is there anything structural or given the visibility you have that we would see any reversal in the trend in pricing in that we saw in the current quarter?
S. Gopalakrishnan: Pricing will be flat, stable, we don’t believe we can increase the pricing in this environment. What we are trying to do is trying to play with the business mix rather than pricing, and that can give us some improvement in revenue per employee.
David Grossman – Thomas Weisel:
S. Gopalakrishnan: We are slightly behind, the reasons are many. One, it is difficult to find the right set of skill sets and things like that. Second, we have to cast our net far and wide, so it takes more time. It also – some of the good people actually require time to join, they don’t join immediately, sometimes as much as six months actually. So, even though we have made offers, they have not yet joined this company. There are various reasons why we are slightly behind in the numbers. But we are focused on increasing this number as Mohan said, we want to recruit more people at our prime locations.
David Grossman – Thomas Weisel: So, just last, I guess is on the tax rate, there is little of current thinking in terms of the tax holiday, you know, is there a chance we can see another extension or does it feel like, well, we have kind of played that out and we should just pretty much assume we are going to see the FTTIs [ph] go out and that will come in and you know, just play out pretty much as it kind of next year.
S. Gopalakrishnan: As of now, we don’t see the tax holiday being extended, maybe if on a few – maybe right. A buck [ph], maybe there will be some hope, but right now there is no hope of extension in the tax holiday.
David Grossman – Thomas Weisel: Okay, great. Thank you very much guys.
Operator: Thank you, Mr. Grossman. Our next question is from the line of Mark Marostica of Piper Jaffray. Please go ahead.
Mark Marostica – Piper Jaffray: Thank you. Just have two questions, wanted clarification, could you just clarify how much you, and now the industry expects offshore is going to be up this year, and then my second question, of your IT budgets that have been finalized, how many of those clients do you expect will spend linearly throughout the year, and how much will be a bit more tentative in spend in line with economic trends? Thanks.
S. Gopalakrishnan: You see, we have given you the guidance for Q4. We will give you the guidance for next fiscal year in April, and our fiscal year starts from April 1st, and next fiscal year in April. That is the reason why I gave you industry data rather than Infosys data. We don’t break up the budget visibility we have, we did give you some indication on what, you know, is the competitive commentary on the budgets. So, we believe that majority of the budget should be finalized by January end, February first week. We believe that the budgets are going to be flat in most cases. We believe that our listing in about 50% of the cases where we have had discussions, they have indicated that the offshore part of the allocation would increase. So, those are some of the data points I can share with you at this point.
Mark Marostica – Piper Jaffray: Okay. Then maybe just sort of qualitatively kind of high level speaking, I mean, if you look at your client base, is there any constraints you have in terms of the pace of that spend or is your backlog strong enough over the, you know, if you look over the next six months, you know, six to 12 months that you are not really concerned about the case of the spend of those IT budgets?
S. Gopalakrishnan: Definitely we are in a better position. I know that is indicated by the growth in Q3. There is confidence within clients and they are spending the money. So, decision-making is happening, let’s say, like normal times or near normal times.
Mark Marostica – Piper Jaffray: Okay. Thanks very much, appreciate it.
Operator: Thank you, Mr. Marostica. Our next question is from the line of Ed Caso of Wells Fargo. Please go ahead.
Ed Caso – Wells Fargo: Good morning and good evening. I had a question on, you are particularly strong in applications and maintenance this quarter, and I am wondering what you were seeing on the other side on sort of the new initiatives that are more discretionary spend-driven, especially given the comment about around improved velocity of positions?
S. Gopalakrishnan: Well, on discretionary spend, the environment is that we won four transformational deals last quarter. That is an indication of, you know, normal decision-making. So, we believe that discretionary spend transformational projects would see further traction.
Ed Caso – Wells Fargo: On pricing, I know it’s up a little bit, but with the big step up in applications management which is generally lower margin work, how are within the particular service offerings, how are pricing, I mean, where if you sort of forgot about the mix shift, what was the trend in pricing?
S. Gopalakrishnan: Frankly, it’s stable or flat. Most of the renegotiations are behind, of course, there will be some periodic renegotiations which are based on annual calendar and things, so that happens every year. But the renegotiations which are tied to the downturn seem to be behind at this point. And that’s where we expect pricing to be stable and flat.
Ed Caso – Wells Fargo: Last question, if you can update us on the subsidiaries and how they came in relative to your expectations?
S. Gopalakrishnan: Well, most of the subsidiaries are profitable now, except for the new ones like Mexico and Sweden. If you take consulting for example, they are profitable. They made a net margin of 4% this quarter. China is profitable, you know, it’s always profitable. So, they started contributing positively to the group’s profit.
Ed Caso – Wells Fargo: And how was that relative to what you are expecting?
S. Gopalakrishnan:
Ed Caso – Wells Fargo: Thank you.
Operator: Thank you, Mr. Caso. (Operator instructions) Our next question is from the line of Mr. Moshe Katri of Cowen & Company. Please go ahead. Mr. Katri, your line is being unmated, if you have a question, please go ahead.
Moshe Katri – Cowen & Company: Yes, thanks. Just a follow-up, can you talk a bit about Europe? North America, obviously drove a significant portion of the upside in terms of accelerating revenues on a sequential basis, Europe seems to be trailing, maybe talk a bit about the timeline here, when could we expect Europe to kind of pick up, maybe also talk about the UK, which I think account for pretty significant portion of your revenue base in Europe? Thanks.
S. Gopalakrishnan: Hello?
Operator: Yes, please go ahead, sir.
S. Gopalakrishnan: This quarter, we have seen Europe sequentially grow by 0.9%. While these are early indicators, we expect Europe to always pick up with the lag, and our belief is it will be between three months to six months time period where we will see Europe picking up, assuming the overall economy across US and Europe will remain stable and there are no new surprises. We are already seeing some traction in terms of dialog across sectors both in UK as well as in the Continental Europe. And this quarter, we saw Continental Europe sequentially grow by 5%. So, that’s again an indication of the things to come.
Moshe Katri – Cowen & Company: Okay. And also, telecom remains kind of muted, can we talk about the outlook for the telecom vertical and some of the activity that we are seeing there?
Subhash Dhar: Yes, this is Subhash. The demand for the telecom-related services are picking up, thanks to the investment in, the opportune investment in the networks that we have seen across the globe from major incumbent service providers. However, we believe there will be a lag between the network investments and the system, and we hope that should be a couple of quarters, and sort of to come from a strong demand for us. But we did see some of that in the last quarter and that got reflected in the growth that the segments have demonstrated. The other reason why there is going to be a bigger spend in the networks is because of the proliferation of the devices and applications, which are potentially choking the networks. So, that’s a good problem for the service providers except that they need to now get into the capital expenditure mode. So, that’s good news, but it’s probably only based on services that we are offering in this market.
Moshe Katri – Cowen & Company: And then a final question for Bala. Bala, what’s your outlook for (inaudible) next year and six to 12 months outlook for the Rupee and obviously that’s going to be probably one of the bigger challenges to deal with down the road? Thanks.
V. Balakrishnan: I hope I know that, Moshe. It’s very difficult, because the currency could appreciate in the short term. Lot of money coming into the country, but it will also follow a global event. The Dollar carry trade is a big thing across the globe. So, it is volatile, that’s why we have taken a short-term view on covering for next two quarters, we are not going beyond that.
Moshe Katri – Cowen & Company: Okay, thanks.
Operator: Thank you, Mr. Katri. Ladies and gentlemen, participants who have questions, please press star and one at this time. If you wish to ask a question, please press star and one now. We have a follow-up question from the line of Bhavan Suri of William Blair & Company. Please go ahead.
Bhavan Suri – William Blair & Company: Hi guys, just a quick question, I know we are wrapping up the call, but given the 8% wage increase in October, have you given any thought to what competition increases in April might look like?
S. Gopalakrishnan: For April, we have not decided as yet, but we are going to examine it. We are going to see how the growth in the near term is and what we can afford. In the third quarter, we have paid 100% variable to all our staff, and on average, it could vary depending upon your performance, we are paying 100% this quarter. So, we will take a decision possibly later in this quarter, we have not decided as yet. But we are open to looking at the – at this point of time based upon the information we have.
Bhavan Suri – William Blair & Company: I guess should we expect a wage hike in April as you traditionally do?
S. Gopalakrishnan: I don’t want to comment on that, because we have not taken a decision, because every quarter, we all sit down and look at how the economic environment is and then take a decision. You know, in the first quarter, after the first quarter results, we looked at rate. Second quarter results, we looked at into target, but in third quarter, we are going to pay, and this quarter, we have given 100% available payment. So, end of this quarter, we sit down and look at it and take a decision. Right now, I mean, I don’t want to hurry out a guess.
Bhavan Suri – William Blair & Company: Okay. And then, any upside on the traction in the government sector? I know you hired the CEO for the government business unit you established in the US, and it’s early days, but any sense of how that’s tracking and what sort of deals you are pursuing there?
S. Gopalakrishnan: We have not yet hired. You know, that hire did not work out. So, we are still looking for that, for the CEO [ph] that position.
Bhavan Suri – William Blair & Company: And any traction in that or you are just holding off until you hire a head in the business unit?
S. Gopalakrishnan: Yes, in the US, we will hold off till we get the CEO, but in India, we have significant touch in the government sector.
Bhavan Suri – William Blair & Company: Great, thanks.
Operator: Thank you, Mr. Suri. Ladies and gentlemen, that was the last question. I now hand the conference over to Mr. Sandeep Mahindroo for closing comments.
Sandeep Mahindroo: Thanks again for joining us in this day and we look forward to talking to you again in fourth [ph] quarter. I would like to hand it over back to the management for any closing comments.
Operator: Gentlemen, from the management, would you like to add any closing comments? Ladies and gentlemen, on behalf of Infosys Technologies Limited, that concludes this conference call. Thank you for joining us on the Chorus Call Conferencing Service and you may now disconnect your lines. Thank you.